Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2013 Geron Earnings Conference Call. Derek and I will be your operator for today. [Operator Instructions] I would now like to turn the conference over to Ms. Anna Krassowska, Head of Investor Relations.
Anna Krassowska: Good afternoon, everyone, and thank you for joining us for the Geron Second Quarter 2013 Earnings Call. With me today are Dr. John Scarlett, President and Chief Executive Officer; Olivia Bloom, Senior Vice President, Finance and Chief Financial Officer; and Craig Parker, Senior Vice President, Corporate Development. This afternoon, we issued a press release that reported results for the second quarter ended June 30, 2013. This release can be found on our website at www.geron.com. Today's call is also being webcast live on our website and will be available for replay until September 9. Before we begin, please note that except for statements of historical facts, the statements during this conference call are forward-looking statements under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These include, without limitations, statements regarding the timelines, prospects and plans for imetelstat, including anticipated timelines for clinical study enrollments, clinical results and data, the therapeutic potential and safety of imetelstat and financial or operational projections or requirements, including spending and cost savings guidance. These statements involve risks and uncertainties that can cause actual results to differ materially from those in such forward-looking statements. Information concerning factors that could cause actual results to differ materially from those in the forward-looking statements is contained in Geron's periodic reports filed with the Securities and Exchange Commission under the heading Risk Factors, including Geron's quarterly report on Form 10-Q for the quarter ended June 30, 2013. Undue reliance should not be placed on forward-looking statements, which speak only as of the date they are made, and the facts and assumptions underlying forward-looking statements may change. Except as required by law, Geron disclaims any obligation to update these forward-looking statements to reflect future information, events or circumstances. We will begin today's call with a summary of the second quarter operating results from Olivia, and then Chip will review the recent events. Olivia?
Olivia Kyusuk Bloom: Thanks, Anna. Good afternoon. For the second part of 2013, the company reported a net loss of $8.9 million or $0.07 a share compared to $18.3 million or $0.14 per share for the comparable 2012 period. Net loss for the first 6 months of 2013 was $20.8 million or $0.16 per share compared to $37.1 million or $0.29 per share for the comparable 2012 period. The company ended the second quarter of 2013 with $71.6 million in cash and investments. Revenues for the second quarter of 2013 were $112,000 compared to $130,000 for the comparable 2012 period. Revenues for the first 6 months of 2013 were $877,000 compared to $1.4 million for the comparable 2012 period. Total operating expenses for the second quarter of 2013 were $9.1 million compared to $18.6 million for the comparable 2012 period. Research and development expenses for the second quarter of 2013 were $4.8 million compared to $12.8 million for the comparable 2012 period. General and administrative expenses for the second quarter of 2013 were $3.4 million compared to $5.8 million for the comparable 2012 period. Operating expenses for the 2013 second quarter also included restructuring charges of $838,000 in connection with the company's decisions in April to discontinue its discovery research programs and companion diagnostic programs based on telomere lengths, as well as close its research laboratory facility, which resulted in a reduction of the company's workforce from 64 to 44 physicians. Total operating expenses for the first 6 months of 2013 were $21.8 million compared to $38.8 million for the comparable 2012 period. Research and development expenses for the first 6 months of 2013 were $12.7 million compared to $27.9 million for the comparable 2012 period. General and administrative expenses for the first 6 months of 2013 were $8.2 million compared to $10.9 million for the comparable 2012 period. The year-to-date operating expenses for 2013 also included restructuring charges of $916,000. The decrease in research and development expenses for the 3- and 6-month periods ending June 30, 2013, compared to the same periods in 2012 primarily reflected reduced personnel-related costs resulting from the recent restructuring, lower cost for the manufacturing of imetelstat and GRN1005 product and reduced clinical trial expenses with the wind down of the imetelstat trials in solid tumors and GRN1005 trials in patients with brain metastases. The decrease in general administrative expenses for the 3- and 6-month periods ending June 30, 2013, compared to the same periods in 2012 primarily reflected reduced personnel-related costs resulting from the recent restructuring and lower legal costs associated with the company's patent portfolio. Noncash operating expenses, which primarily included stock-based compensation and depreciation, were approximately $1.6 million and $3.2 million for the 3- and 6-month periods ending June 30, 2013, respectively, compared to $2.1 million and $4.4 million for the comparable 2012 periods. Interest and other income for the second quarter of 2013 amounted to $56,000 compared to $165,000 for the comparable 2012 period. Interest and other income for the first 6 months of 2013 was $137,000 compared to $341,000 for the comparable 2012 period. The decline in interest and other income primarily reflected the decrease in cash and investment balances due to the use of cash for operations. The company has not incurred any impairment charges on its investment portfolio. At the beginning of the year, we projected an operating expense burn of approximately $33 million for 2013. Given current and anticipated activities for the second half of 2013, I expect an increase in total operating expenses of approximately $4 million for a projected total 2013 operating expense burn of approximately $37 million. The increase in projected 2013 operating expenses reflects additional costs associated with imetelstat manufacturing and anticipated transaction costs related to the divestiture of stem cell assets. We expect to end 2013 with approximately $50 million to $55 million in cash and investments. I will now turn the call over to Chip for the overview of recent company events. Chip?
John A. Scarlett: Thanks, Olivia. Good afternoon, everybody. I'll begin with the updated clinical results from the Phase II trial of imetelstat in patients with essential thrombocythemia, or ET, that was presented at the European Hematology Association conference in June, and then I'll provide a brief update on the recent progress that has been reported to us by Dr. Tefferi on his investigator-sponsored trial in myelofibrosis ongoing at the Mayo Clinic. Our rationale for studying imetelstat and ET was to provide a proof of concept for further development of imetelstat in a broader range of hematologic myeloid malignancies including myelofibrosis, where there's a clear unmet medical need for a product that could be disease modifying. The updated results from the ET trial presented at EHA included data for an additional 6 months of treatment and follow-up for the 14 patients presented at the original American Society of Hematology, or ASH, annual meeting in December of last year and also included data from 4 additional patients enrolled in the trial after the data cutoff for the ASH presentation. As of the May 2013 data cutoff for EHA, the medium time on imetelstat treatment was 14 months, ranging from 3 months to 2.5 years. The updated data were consistent with the high hematologic and molecular response rates reported at ASH. In addition, since the hematologic and molecular responses were maintained in patients on treatment, imetelstat appears to have good durability of its effects on the disease. The ET trial has been closed to further patient enrollment, but we continue to treat and follow the patients previously enrolled in the trial. Long-term administration of imetelstat was generally well tolerated in this trial. There were no new safety signals observed in the 6-month update and no patients discontinued from the trial due to drug-related adverse events. On our last quarterly call, we discussed our internal investigation in the liver function test observations in the ET trial. The investigation was conducted in collaboration with external liver experts that we engaged as consultants. We have now completed the current investigation process. Based on the data from the investigation, the liver function test abnormalities do not appear to progressively worsen over time and have not resulted in any clinical sequelae. No patients discontinued to study treatment due to the liver biochemistry abnormalities. Based on the conclusions from the investigation, the external liver experts recommended no changes to the use or administration of imetelstat. I'd like to comment now on Dr. Tefferi's investigator-sponsored trial in myelofibrosis at Mayo Clinic. Because MF is also like ET, a myeloproliferative neoplasm, driven by malignant myeloid progenitor cells, we and Dr. Tefferi reasoned that imetelstat might have a similar disease modifying effect in patients with MF, and therefore, he initiated a study at Mayo Clinic late last year. His study is an open label trial in patients with intermediate or high-risk primary myelofibrosis, post-essential thrombocythemia MF or post-polycythemia vera MF. The study is designed to validate the safety and efficacy of imetelstat, as well as determine an appropriate dose and schedule for further evaluation. The primary end point is overall response rate, which is defined by the proportion of patients who are classified as responders according to the International Working Group for Myelofibrosis Research and Treatment, or IWG, criteria. This means that they have achieved either clinical improvement, a CI, partial remission, a PR, or complete remission, a CR. Secondary endpoints for this study include reduction of spleen size, transfusion independence, safety and tolerability. Dr. Tefferi has provided the following communications to us regarding the enrollment status of this MF trial. First, enrollment of the first 11 patients in which the dose of imetelstat was given once every 3 weeks was completed at the end of March 2013. Second, enrollment of the second cohort of 11 patients in which Dr. Tefferi increased the dose intensity of imetelstat to levels similar to those used in ET trial was completed at the end of May of this year. Third, in both cohorts, the prespecified criteria in the clinical protocol of at least 2 responders according to IWG criteria were met and enabled expanded enrollment into those cohorts. In addition, Dr. Tefferi has communicated to us that the Mayo Clinic Institutional Review Board has recently approved a protocol amendment to add a new cohort of 11 patients with MF that has transformed into acute leukemia known as blast-phase MF. Blast-phase MF is largely refractory to the conventional induction chemotherapy that is used for acute myelogenous leukemia. As a consequence, these patients have a dire prognosis with a median survival of less than 6 months and are in great need of novel and effective therapies. We continue to be pleased of the progress that Dr. Tefferi has made and expect that data from the study will positively enable us to design and initiate a Geron-sponsored multi-center study in MF. We believe that the diseases such as MF and possibly acute myelogenous leukemia, or AML, and myelodysplastic syndrome, or MDS, represent the greatest value-creating opportunity for Geron because many patients have significant unmet medical needs and unlike existing therapies, we believe imetelstat has the potential to be a disease-modifying treatment. Before we move on to questions, I would like to comment that because the MF study is ongoing and because the intention is for a mature data set to be presented at an appropriate peer-reviewed medical conferences in the future, we're not going to comment further today on any safety or efficacy observations from Dr. Tefferi's ongoing IST. So with that, operator, let's open the call to questions.
Operator: [Operator Instructions] Our first question will be coming from the line of Charles Duncan, Piper Jaffray.
Roy Buchanan - Piper Jaffray Companies, Research Division: This is Roy in for Charles. It sounds like good progress with the MF study. I had a few questions not on the safety and efficacy, if you could possibly address them. I guess what may be the possible criteria for the third cohort? And it's not clear to me, are there 2 different cohorts of blast-phase MF and then a third cohort of, I guess, non-blast-phase MF? If could you address that.
John A. Scarlett: Sure. So there currently are 2 cohorts of patients with non-blast-phase that is MF alone. The first cohort was started with Q3 weekly dosing. The second cohort had dosing very similar to what we gave in the ET study, which was closer to weekly dosing, at least initially. And both of those cohorts are now approved because of the responses seen for additional patients to go into those cohorts. Then there was a third cohort -- maybe we should stop saying first and second, third and just use cohort A, B and C. So A and B were the ones I just spoke to. And then there's a third cohort, if you will, the third cohort, which is initially a cohort of 11 patients, and these are patients who specifically have where their MF has transformed into acute leukemia, known as blast-phase MF. So they're separate and distinct from the other 2 cohorts of non-blast-phase MF. Does that answer your question, Roy?
Roy Buchanan - Piper Jaffray Companies, Research Division: Yes, I think so. And I guess I'm not familiar with that. Have there been any recent studies with other agents where we could maybe get a sense for what those patients look like?
John A. Scarlett: Yes, blast-phase patients, this is where the disease MF, which is bad enough, has transformed itself into an acute leukemia, meaning that they're greater than 20% blast. They are very, very immature cells, white cells and greater than 20% blast. And it is considerably more difficult to successfully treat than de novo AML. It looks like AML, but it has a very, very poor prognosis. As we mentioned in general, these patients have a survival -- median survival, of less than 6 months once they transform into blast phase. So it's quite an acute illness, and it's mostly characterized by, again, a very AML-looking picture in the peripheral blood, and for that matter, I guess in the bone marrow. But it's quite difficult to treat, and they use a variety of different agents for this, but none of them have been particularly successful.
Roy Buchanan - Piper Jaffray Companies, Research Division: Okay, great. And then if I can get one last question. I guess kind of looking forward, maybe speculating a little bit, let's assume that imetelstat continues to behave well and you get a good clinical response and I guess what other agents that are maybe coming down the pipe are you guys watching closely in terms of either potential competition or just defining the space?
John A. Scarlett: We don't see anything right now that has any kind of similar mechanism of action. I mean, this is really quite a unique drug. And I think obviously, the clinical profile of imetelstat will define where it sits in the competitive landscape, and we're not in a position to talk about that today. But I don't think this is something where -- I think this is quite a different product. It is a product that is given by infusion. Most of the other -- for example, JAK inhibitors are oral agents. As we've sort of harped on, we think that there is at least the potential for disease modification, meaningful disease modification. I think the history of most of this JAK inhibitor is not to throw cold water on them. If I had MF, I want to be taking one today. But nevertheless, they haven't shown themselves to be very effective in addressing the underlying malignant clone and malignant disease. And so I think it's quite -- this is quite a unique drug, and so we'll have to see the -- I think we'll have to all see the full profile, and then I think it will become fairly evident where it sits in the competitive landscape.
Operator: [Operator Instructions] Your next question is from the line of Brian Klein from Stifel.
Brian Klein - Stifel, Nicolaus & Co., Inc., Research Division: So first, I know that you don't control Dr. Tefferi's data, but just wondering if it's fair to assume we might get a clinical update at the upcoming ASH meeting in December?
John A. Scarlett: So we said all along, Brian, that we expected that he would want to have results available at that time. And so I don't think it's our place to tell you whether that will or won't happen and under what circumstances, but that's always been the expectation and certainly been his goal.
Brian Klein - Stifel, Nicolaus & Co., Inc., Research Division: Great. And then as more cohorts or patients are added to the study, how quickly do you think you can turn around and initiate your own internal Phase II program? Are you going to now wait until this blast-phase cohort is fully enrolled and wait for that data? Or do you think you can move ahead in just the MF alone?
John A. Scarlett: No. Well, to be determined based on data. But in principle, I don't think that we need to wait for blast-phase MF data. I think that's actually a pretty different manifestation of the disease, and I'm not at all sure anyone would be enthusiastic about co-mingling patients with blast-phase MF in a more conventional MF story. I mean, the study that ILU's [ph] doing as we speak has a very similar patient population to that which all the JAK inhibitors have studied, which is DIPSS intermediate-2 and high-risk patients. And that protocol much like there is never contemplated treating blast-phase MF. So I think if we do blast -- if blast-phase MF turns out to be attractive, which we don't know yet, but if it does, I think that would be the subject I would think of a different program because it's quite different treatment -- presumably different treatment rhythms and certainly different treatment outcomes are being looked for.
Brian Klein - Stifel, Nicolaus & Co., Inc., Research Division: But your expectation would be that in 2014, you could initiate a trial?
John A. Scarlett: Yes, I would certainly hope so, yes. Oh, in blast-phase MF?
Brian Klein - Stifel, Nicolaus & Co., Inc., Research Division: No, no, in just...
John A. Scarlett: In standard primary MF and post-PV/ET MF, yes, absolutely.
Brian Klein - Stifel, Nicolaus & Co., Inc., Research Division: Okay, okay. And then you've talked in the past and today as well about how imetelstat might be disease modifying. When you think about potential endpoints, is complete response the appropriate endpoint that we should be focused on? Or do you think that ultimately, survival or at least progression-free survival is a better metric of disease modification?
John A. Scarlett: Yes. Thanks. That's a great question. Well, both PRs and CRs, even with the newest criteria, are quite hard to achieve. I mean, as far as we can tell, none of the existing panoply of drugs out there have achieved any PRs and CRs. There had been some retrospective looks at some data here and there. But certainly, I don't think anyone believes that the existing JAK inhibitors, for example, much less the earlier products actually produced real PRs and CRs. So I think that if you were so fortunate to have an agent that could induce a partial or complete remission, one would think that, that would be a very attractive drug. I mean, obviously, depending on side effect profile, but that would be a very attractive drug. And I would find it quite hard to imagine that regulatory agencies would hold you to a standard today of having to show a survival benefit off the top. I also think that if you -- I mean, remember, with the CR, you're clearing myelofibrosis from the bone marrow, right? And that's pretty big deal. Nobody has done that. So if you actually cleared from the bone marrow and returned the bone marrow to age-adjusted normal cellularity and lack of fibrosis, that would be a pretty big accomplishment. I wouldn't think that you would have to wait for a survival benefit to show up. I would certainly expect there to be one, but I don't -- the regulatory standard would be another question. SO that would have to be discussed at length with regulatory agencies. I'm talking off the top of my head, but that's sort of my initial reaction to your question.
Brian Klein - Stifel, Nicolaus & Co., Inc., Research Division: Okay, okay, that's fair. And then one final question. Given the increased burn that you're expecting for this year, do you think that your current financial resources are sufficient to get you through a company-funded Phase II trial?
John A. Scarlett: Kind of depends on how big it is and how long it is and what we actually have to put into it. So I think I'm going to reserve commentary until we've got a little bit better feel for that, Brian. I mean, I think we'll -- I'll just leave it at that. I think when we know what we're going to do, we'll be very happy to discuss our financial strategy with you, then it will make a great deal of sense to do so.
Operator: At this time, that will conclude the Q&A portion for today's conference. I would now like to turn the call back over to Dr. John Scarlett for any closing remarks.
John A. Scarlett: Well, thanks a lot, guys. I appreciate you being on the call in a busy earnings season, a busy afternoon for earnings. So we look forward to telling you the story, and we look forward to the year progressing on as we see what happens towards the fourth quarter -- third and fourth quarter of this year. Bye-bye.
Operator: Ladies and gentlemen, that concludes today's conference. We thank you for your participation. You may now disconnect. Have a great day.